Operator: Good day, ladies and gentlemen. Thank you very much for your patience and welcome to the first quarter 2008 AngioDynamics earnings conference call. (Operator Instructions) I would now like to turn the conference over to your host for today’s presentation, Mr. Doug Sherk with The EVC Group. Please proceed, sir.
Doug Sherk: Thank you, Operator and good afternoon, everyone. This is Doug Sherk with the EVC Group. Thank you for joining us this afternoon for the AngioDynamics conference call to review the financial results for the first quarter of 2008, which ended on August 31, 2007. The news release announcing the first quarter results crossed the wire this afternoon shortly after the market closed. If you haven’t received a copy of the release and would like one, please call our office at 415-896-6820 and we’ll get one to you immediately. Additionally, we’ve arranged for a taped replay of this call which may be accessed by phone. The replay will become available at approximately 6:30 p.m. this evening and will remain available for seven days. The dial-in number to access the replay is 888-286-8010, or for international callers, 617-801-6888. Both numbers will need the passcode of 48003479, followed by the pound sign. This call is being broadcast live and an archived replay will also be available. To access the webcast, go to AngioDynamics website at www.AngioDynamics.com. Before we get started, during the course of this conference call, the company will make projections or other forward-looking statements regarding future events, including statements about the sales and the company’s beliefs about its revenues and earnings for fiscal 2008. We encourage you to review the company’s past and future filings with the SEC, including without limitation the company’s Forms 10-Q and 10-K, which identify specific factors that may cause actual results or events to differ materially from those described in forward-looking statements. In addition, management will be reviewing various non-GAAP measures during today’s call. Investors should consider these non-GAAP measures in addition to, not as a substitute for or superior to, financial reporting measures prepared in accordance with GAAP. During today’s call, the company will discuss non-GAAP measures adjusted income and adjusted EPS. Adjusted income and adjusted EPS exclude certain expenses relating to the acquisition of RITA Medical, stock-based compensation expense, litigation damages, and others, including the cash benefit from the use of acquired net operating losses and assumed taxes on net income where applicable. Management believes these measures provide investors with useful information, comparing the company’s performance over different periods, particularly when comparing this period to periods in which the company did incur any expenses relating to these expense activities or items -- strike that. Let me start that last sentence again. Management believes these measures provide investors with useful information, comparing the company’s performance over different periods, particularly when comparing this period to periods in which the company did not incur any expenses relating to these activities or items. A reconciliation of all GAAP measures used during today’s call is provided in the news release distributed this afternoon and is available on the company’s website. Finally, during the question-and-answer period today, we request each caller limit themselves to two questions and then encourage re-queue to ask additional questions. In advance, we appreciate everyone’s cooperation with this procedure. Now I would like to turn the call over to Eamomm Hobbs, President and Chief Executive Officer of AngioDynamics.
Eamomm P. Hobbs: Thanks, Doug and good afternoon, everyone. Thank you for joining us today to review what we believe is a great start to what we believe will be a great year for AngioDynamics. With me is Bob Mitchell, our Chief Operating Officer; and Joe Gersuk, our Chief Financial Officer. After I make a few opening remarks, Joe will review the financial highlights of the quarter, as well as our reaffirmed outlook for the fiscal year. Then we will take your questions. Our first quarter came in a little better than our internal plan. We generated net sales of $37.5 million as we grew the organic AngioDynamics product sales by 15% and the organic RITA product sales by about 7%. The AngioDynamics product sales performance was led by the strong launches of both the Profiler balloon catheters and NeverTouch VenaCure product lines. In addition, the AngioDynamics product sales were favorably impacted by strong demand for our Morpheus CT PICCs and insertion kits. The RITA product performance was led by a doubling of the LC Bead embolization product sales and Habib surgical resection sales grew more than 50%. RITA port sales were flat on a pro forma basis over the same period of last year, which was an improvement from the 6% decline experienced during 2006, as compared to 2005. It also should be noted that the prior year period had exceptionally high port sales relative to prior and subsequent periods. Some of the discontinued or de-emphasized legacy RITA products, such as needles, PICCs, and distributed pumps declined as expected during the quarter. Overall, we are pleased by the RITA product sales performance because we grew overall sales during a period when two domestic distributors sold through the last of their remaining inventory and we transitioned those territories over to our direct sales force. During the quarter, we successfully continued the integration of RITA Medical operations into the company. We remain on track to realize the $9 million in cost savings during the fiscal 2008, envisioned when we announced the acquisition some nine months ago. At the same time, we continued to identify additional opportunities to improve cost efficiencies throughout our organization, which was demonstrated by our operating income growth exceeding sales growth. The strong start to fiscal 2008 has provided an excellent foundation for us to build on and we are in a good position to achieve our growth targets for the year. As a result, I am pleased to be able to reaffirm our guidance provided to you back in July. Joe will provide you more details on the numbers in a few minutes. While we executed on the sales side, we also continued our rather substantial product development efforts. In August, we launched into the oncology market with the UniBlate, a scalable, single-needle radio frequency ablation electrode used to coagulate lesions during percutaneous, laparoscopic, and intraoperative surgical procedures. The product was very well-received at the CIRSE conference in Athens in early September, and we expect sales to contribute as the fiscal year progresses. Another successful result from our R&D team was the earlier-than-planned launch of the NeverTouch VenaCure product line to treat venous disease. The NeverTouch utilizes a unique non-contact method that completely eliminates even incidental contact by the emitting face of the fiber with the vessel wall. Doctors are particularly appreciative of NeverTouch’s ability to eliminate incidental contact with the vessel wall because the clinical evidence continues to suggest it minimizes patient discomfort and bruising. VenaCure consumable sales grew 27% in the first quarter, with the entire VenaCure business totaling 7% of revenues. On a related matter, I am pleased to announce that the U.S. Patent Office recently issued a patent to AngioDynamics covering an endovascular laser treatment device with a spacer, which further prevents contact with the vessel wall. The patent, along with other pending patent applications covering venous disease treatments, demonstrates our continued commitment to maintaining our innovative leadership in this market segment. VenaCure is also the subject of pending litigation with VNUS. As we talked about in July, VNUS has sued us and others for patent infringement. Before the trial begins, motions for summary judgments have been filed by both sides in the case and the judge will hear these motions beginning next week. The motions involve matters of infringements, enablement and validity of the patents. If the judge rules that a trial should proceed, the trial date is expected to be the week of October 29th. Under this schedule, we would expect a verdict to be reached by the end of November. As we have prepared for the potential different outcomes of the litigation, our team has finalized production plans to ensure our ability to provide our venous product line customers with uninterrupted supply, regardless of the outcome of the pending litigation. At this point, I need to limit our comments on VNUS to those that I just offered and we will keep you updated on any developments. Our exciting Irreversible Electroporation, or IRE, development program with Oncobionic continues to progress on schedule. In the August 2007 edition of Technology in Cancer Research and Treatment, or TCRT, which is a bimonthly, peer-reviewed research journal, there are 10 articles devoted to IRE. While you can access these articles through the AngioDynamics website, I would like to briefly review three of the articles to give you a sense of why we are seeing great potential in the IRE development program. Doctors Edward Lee, Christopher Loh, and Stephen Kee of UCLA Department of Interventional Radiology, have published an article in the August edition of TCRT entitled Imaging Guided Percutaneous Irreversible Electroporation: Ultrasound and Immunohistological Correlation. These doctors are the first completely independent research team to verify the IRE animal data published by others. The second article of note was presented in the same issue by Gerry Onik, MD, Paul Mikus and Boris Rubinsky, Ph.D., and is entitled Irreversible Electroporation: Implications for Prostate Ablation. In this article, the team noted during prostate ablations in an animal model that all of the critical structures, including nerves, had been completely spared during the ablation using the IRE technology. And finally, Doctors Elad Maor, Antoni Ivorra, Jonathan Leor, and Boris Rubinsky of the University of California Berkley published a very interesting article titled: The Effect of Irreversible Electroporation on Blood Vessels. In the article, the doctors concluded that electroporation showed promise as a way to combat restenosis, which may ultimately reduce or eliminate the need for a drug-eluted stent. The articles are available at www.tcrt.org. Needless to say, this is very exciting stuff. We are still on track to complete our first human use pilot trial, which is focused on malignant prostate, by the end of the calendar year. Successful completion of this trial triggers the completion of the acquisition of Oncobionic. This will be completed with a $15 million payment followed by an additional $5 million cash payment six months later. Before the end of the fiscal year, we plan to provide 20 IRE systems to thought leaders in the field of focal tumor ablations in the U.S. and Europe, who will begin using the system to treat patients and develop clinical data on the technology’s therapeutic effectiveness. Mark Ortiz, who joined us as part of the RITA acquisition, will be managing this effort as our newly appointed Vice President of IRE Business Development. If all goes well, we expect to recognize very modest initial revenue from IRE by the end of the current fiscal year and commercially launch the system for certain indications in fiscal 2009. We plan to update you on the progress of IRE developments during the fall and are quite excited about this technology’s potential. Now I would like to turn the call over to Joe.
D. Joseph Gersuk: Thanks, Eamomm, and good afternoon, ladies and gentlemen. First quarter operating results indicate we are off to a good in the new fiscal year. Net sales increased by $17.3 million, or 85% this quarter, to $37.5 million. $14.3 million of the increase was attributable to the sale of products acquired from RITA Medical Systems and the balance was in AngioDynamics products. Excluding the impact of RITA product sales, today’s results reflect 15% organic growth in the sale of AngioDynamics products. This 15% organic growth rate was led by strong sales of existing and recently introduced products. This includes the Morpheus PICC, the Morpheus Bedside Insertion Kit, the Profiler balloon catheter, Sotradecol, and a new VenaCure NeverTouch product that was introduced in the fourth quarter of last fiscal year. From a product group perspective, the interventional products group grew by 43% on a reported basis to $28.9 million, or 10% on a pro forma basis, as RITA’s port product line is now included in the interventional products group. Growth this quarter was led by strong sales of Sotradecol and the new NeverTouch product in the venous segment, and by our image guided vascular access products, which includes the Morpheus PICC and bedside insertion kit, and the ports and related products that came with the RITA acquisition. Our PTA segment also enjoyed excellent results, led by strong sales of Workhorse and Profiler catheters. Even with strong year-over-year growth, the VenaCure system sales constituted 7% of total company sales in the first quarter this year compared to 12% a year ago and 9% in the immediate preceding quarter. Our oncology product group enjoyed excellent sales results this quarter, led by the Habib Laparoscopic resection device and the LC Bead embolization product, which doubled sales in the quarter over the prior year. Both products continue to enjoy strong growth and excellent market acceptance. Additionally, in late August we introduced UniBlate, a single-needle RF electrode for multiple small lesion ablation. We believe this product has excellent potential to broaden the use of our electrode based RF ablation family of products. Oncology product sales totaled $8.6 million in the quarter and grew 20% on a pro forma basis. Continuing down the income statement, the gross profit margin was 60% in the first quarter, which is slightly below our expectation. Sales mix was one factor and another was the ramping up of NeverTouch fiber production. Despite this, we still think our margin goal for the year of 61% to 62% is achievable. Total operating expenses were $19 million in the quarter and, as detailed in the release, include $2.6 million in non-cash charges for stock-based compensation and amortization of purchased intangibles. Excluding these non-cash charges, operating expenses were 43.5% of net sales in the quarter, compared to 47% of net sales a year ago. This 3.5 percentage point improvement in operating efficiency is a clear indication of the synergies we are achieving in the integration of RITA Medical, primarily in the area of G&A costs, which represent 2.4 percentage points of the improvement. As anticipated, legal fees were high again this quarter, totaling $1 million, with about half of that cost related to patent litigation matters and the other half the customary level of IP and normal corporate legal work. At 7.2% of sales, R&D spending was less than expected. This is primarily a matter of timing of expenditures. We expect R&D to increase in the future quarters, both in absolute terms and as a percentage of sales, as we have mentioned in our previous guidance. Operating income rose by 93% in the quarter to $3.5 million. This represents an operating margin on sales of 9.4% on a GAAP basis versus 9% a year ago. Excluding amortization of purchased intangibles and stock-based compensation, operating income improved to $6.6 million or 16.8% of sales for the quarter. The comparable prior year margin is 12.3%. This 4.5% margin improvement is again indicative of the success of our ongoing integration efforts. After interest income and income taxes are taken into account, the result is $2.4 million in net income, or $0.10 in earnings per share. As noted in the release, non-GAAP adjusted income was $6.1 million in the quarter, or $0.25 per share, as we demonstrate the strong cash generating capability of our business model as we integrate RITA into AngioDynamics. The balance sheet remains strong, as we ended the quarter with nearly $71 million in cash and marketable securities, $89 million in working capital, and $7 million in long-term debt. Accounts receivable represent 47 days sales outstanding. During the quarter, we entered into two agreements that I will mention here. The first related to the purchase of the NeverTouch intellectual property that AngioDynamics co-owned with an outside inventor. The agreement calls for a purchase price of $3 million that will be payable based on milestones. The first $1 million was paid in the first quarter. The second agreement relates to the acquisition of exclusive distribution rights to a product that is under development and that we expect to introduce later this fiscal year. A $1 million prepaid royalty was paid in the first quarter. You will also notice that we have classified a $10 million convertible debt from long-term to short-term this quarter, as it matures in August 2008. On maturity, $1.2 million in cash is payable and the balance of the notes are convertible into common shares at a price of $20.41 per share. They have also classified a short-term the $10 million judgment provision in the Diomed case, which is under appeal. Finally, you will note in the release that we are reiterating our guidance for the fiscal year. The guidance is unchanged from what we provided you in late July and I’ll briefly repeat it here for the benefit of those who didn’t join that call. We continue to expect sales for the year in the range of $170 million to $175 million; gross margin in the 61% to 62% range; GAAP operating income of $20 million to $22 million; GAAP EPS of $0.56 to $0.50 per share; and non-GAAP adjusted income of at least $30 million. Adjusted income is defined as net income plus stock-based compensation, amortization of purchased intangibles, and cash tax savings arriving from the use of RITA’s net operating losses. I will now turn the call back to the operator for the question-and-answer session.
Operator: (Operator Instructions) Our first question comes from the line of Phil Nalbone of RBC. Please proceed.
Phillip E. Nalbone - RBC Capital Markets: Thank you very much. Good afternoon, everybody. Eamomm, let’s start with the 15% growth in AngioDynamics' organic business. That’s very much on plan but 15% growth is below what we had previously been accustomed to over many years, better than 20% top line growth. So what is going on? Is it the company’s focus? Is it product flow and where you are in new product cycles? Is it something in the broader PVD market? What should we think about in terms of a long-term growth opportunity for your mix of core products?
Eamomm P. Hobbs: As you stated, we are very happy with the 15% growth for the quarter. There certainly is nothing going on in the market that is lowering our growth potential. This really is indicative of product cycles, new product introduction cycles of the prior year and current year, as our newest products for -- that were introduced very late in Q4 are just out of the gate for the entire Q1. I think our expectations for the quarter of 15% were in line. As far as longer term, we are expecting organic growth to be in the neighborhood of between 15% and 20%, and I would anticipate over the course of the year that you will see organic growth grow up from 15%, as our guidance suggests, that overall we’re going to have overall company growth that’s I believe around 17 or 18.
Phillip E. Nalbone - RBC Capital Markets: Great, thank you. And my second question is really a two-part question related to leg vein therapy. Can you first talk a little bit about this idea of being able to provide leg vein therapy on an uninterrupted basis, even if the VNUS case goes against you? Can you give us some sense of where you stand in the regulatory process and whether there is any chance that we would see a gap in your ability to supply product? And then the second part relates to percutaneous use of Sotradecol as a new form of leg vein therapy.
Eamomm P. Hobbs: Well, we are very confident we are going to be able to provide uninterrupted service with our leg vein customers. We have learned a lot from the whole Diomed experience and feel that we are much better prepared this time. You know, we are hopeful that if there is a trial that the trial goes our way, but we are prepared, fully prepared, to continue to ship product if the trial goes adversely for us. So I really can’t mention more than that, other than our team is very confident that we’re in a position to do that, and we’ll talk more about that as the situation progresses. On the issue of catheter directed sclerotherapy, we have made significant progress in that area. We’ve completed a pilot study that showed that the technique was very viable and are now planning to expand that and hopefully commercialize the product in the future. We are not ready to outline the timing of that new product program but certainly it is something that we see a lot of positive upside coming down the road.
Operator: Thank you very much, sir. Ladies and gentlemen, your next question comes from the line of Jason Mills of Canaccord Adams. Please proceed.
Jason R. Mills - Canaccord Adams: Thanks, Eamomm. Congrats on a good quarter. To follow up on Phil’s first question, with respect to organic growth, it seemed to certainly meet expectations and your commentary would suggest that we would expect to see organic growth continue as the quarters progressed, this being your first fiscal quarter through the second, third, and fourth. I want to make sure that expectations -- that our expectations are fair though, because if I look at the second quarter on an organic basis, specifically if you look at venous, which I know is a small part of your business but still is going to be somewhat of a difficult comp for you I believe in the November quarter, as are a couple of your other businesses. Hemo-dialysis catheters, you had a really good November quarter last year as well. Could you speak to -- in our model, you know, full disclosure here, we actually have organic growth coming down in the second quarter and then ticking back up towards 20% in the back half of the year because of the difficult comps organically in the second quarter. Could you talk about that? And then I have a follow-up or two.
Eamomm P. Hobbs: Well, you are quite right, Jason, in that there are some difficult comps in the second quarter but in spite of that, we think that organic growth will tick up in Q2 slightly, and then Q3 and Q4, it will recover into the 20s quite handily. The Q2 prior year performance in the products you mentioned was robust and that’s -- even in spite of that, though, we are still going to tick it up above the level that we saw this quarter.
Jason R. Mills - Canaccord Adams: Okay, so -- but if you did that, just as a follow-up to that, which would be a fantastic result, because assuming that your oncology product sales are sort of right around $9 million or so for the quarter, relative to your commentary in the press release that you will do sort of 45% of the sales guidance for the year in the first half versus the second half, then you would be in a position where you would have to raise guidance at that point in time, almost for sure. And I know you don’t want to do that at this point. So what am I missing, just to make sure that I don’t get too bullish about your second quarter results?
D. Joseph Gersuk: The 45-55 guidance we gave at the end of last year actually didn’t assume quite a strong a first quarter as we just had, and if you use that same formula against this year’s range of sales of $170 million to $175 million, and the actual for the first quarter, that would put us in at a range of $39 million to $41 million for the second quarter, and our expectations are actually a bit above that, and probably closer to the $41.5 million to $42 million range. So it’s slightly better on the top line than was implied in that previous 45-55 guidance that we offered a quarter ago.
Jason R. Mills - Canaccord Adams: Okay, that’s good clarification. If I might, I’ll ask my second question now and then get back in queue. Specifically, I wanted to -- actually, I have a question on image guidance and a question on hemo-dialysis. I guess I’ll go hemo-dialysis, so if somebody asks image guided vascular access. Could you chronicle, Eamomm, the recent history for us, remind us of the recent history on the reimbursement side of that market and how it’s impacted AngioDynamics and specifically, given your product portfolio now and also what your plans are in product development in that market? Are you seeing a better market than we’ve seen in the past? I know you’ve seen some reimbursement schedules go against you and then actually come back to for you. Where do you see that market now relative to your current growth rate and is there an opportunity for you to accelerate there?
Eamomm P. Hobbs: We see the market as pretty stable and there is still considerable pricing pressure that’s been consistent throughout the last few quarters. We see the future for that product line for us pretty much in the same context as most of our other product lines, in that it’s all about innovation. So when you are faced with pricing pressures such as we are in dialysis, our response to that is to innovate our way out of it to be able to provide a new product that’s going to be able to gain market share and do it at an attractive margin. So stay tuned in that area. We certainly are committed to stay in that business and hopefully get its growth rates up to corporate average or better.
Operator: Thank you very much, sir. Ladies and gentlemen, your next question comes from the line of Chris Warren with Suntrust. Please proceed, sir.
Christopher K. Warren - Suntrust Robinson Humphrey: Thanks very much, guys, for taking the question. First off, are you going to make an announcement about a new laser console partner here on this call or has anything happened there?
Eamomm P. Hobbs: We hadn’t planned on making an announcement on a new laser partner, but when we do, we’ll send it to you first.
Christopher K. Warren - Suntrust Robinson Humphrey: Thank you very much. On the port side of the business, could you sort of qualitatively tell us if the RITA standalone stuff was year-over-year positive growth?
D. Joseph Gersuk: It was essentially flat on a year-over-year basis, and that really mostly reflects a very strong prior year first quarter number, which actually saw a decline thereafter, and so it’s more -- the flatness year over year is more a function of a strong quarter last year. We think that we are going to get some good traction with the new Smart Port CT product in future quarters and that the comparisons going forward will be better, and positive. As you will recall, that business was in the year or so prior to the acquisition, that business was actually declining at a 6% year-over-year rate, so we’ve managed to reverse that and it should be growing in the quarters ahead.
Christopher K. Warren - Suntrust Robinson Humphrey: And then just one final question on that, in terms of bundling into the contract Port and PICC opportunity, could you give us sort of a progress report and tell us whether or not the sales cycle is as expected or shorter or longer?
Eamomm P. Hobbs: We’re experiencing some upside from bundling. We now have the product breadth in image guided vascular access that allows us to gain a lot of leverage. You know, the product sales cycles for bedside insertion kits, which are very long, are still long but considering we started well over a year ago, we’re gaining traction there, getting very material accounts and we’re very pleased with the progress we’re making there. I think we anticipate seeing more and more impact from bundling going forward.
Operator: Thank you very much, sir. Ladies and gentlemen, your next question comes from the line of Jayson Bedford of Raymond James. Please proceed.
Jayson T. Bedford - Raymond James & Associates: Good afternoon, guys. A couple of quick questions; just in terms of the RITA acquisition, is it fair to say it’s largely complete? Is there anything left to do and I guess is everything in place now to kind of recognize the $9 million in cost savings?
Eamomm P. Hobbs: I’m not sure if you ever say it’s complete, because we are always tweaking and looking for improvements but I think it is very safe to say that we are on schedule. We are very comfortable that the $9 million is tangible and achievable this fiscal year, and we are very pleased with the integration and how that’s all going. So everything is right on track; if not on track, we’re ahead a little bit.
Jayson T. Bedford - Raymond James & Associates: Okay, I guess my other question, maybe for Joe, other income, Joe, was a little less than $300,000 in the quarter. You have a cash balance of $71 million. I just thought it would be a little higher. I’m just wondering if there is anything offsetting that in the quarter.
D. Joseph Gersuk: Yes, there is interest expense on the debt that we didn’t have a year ago, on the debt we acquired with the RITA acquisition was part of it, and there’s less interest income. There’s also an interest rate accrual on the litigation settlement, as we still have the money associated with that judgment that’s under appeal, so there is a provision for an interest rate, interest being accrued against that amount.
Jayson T. Bedford - Raymond James & Associates: Okay. Thank you.
Operator: Thank you very much, sir. Ladies and gentlemen, your next question comes from the line of Suraj Kalia of Piper Jaffray. Please proceed.
Suraj Kalia - Piper Jaffray: Good afternoon, gentlemen. Eamomm or Joe, when I look at the guidance for 55% in the second half of the fiscal year, and Joe, correct me if I misheard you, with $37.5 million in this quarter and 60% gross margin, can you help us understand the components of growth in the latter half of the year to essentially make up gross margin guidance of 61% to 62%?
D. Joseph Gersuk: If I understand, your question is how does the gross margin get better from here. Is that --
Suraj Kalia - Piper Jaffray: Correct.
D. Joseph Gersuk: Yes, in this particular quarter, about half of the one point shortfall that we saw to our guidance and our own internal expectation was just a matter of mix, and that’s always a possibility. You know, at the very low end, some products might have a 40% gross margin in them and others might have an 80% or 85% gross margin in them, so it can change from quarter to quarter. As historically, we have tended to see higher gross margins during the course of the year as sales levels arise and we see a higher level of the annual sales being achieved in the second half of the year. That would indicate higher utilization of the manufacturing operation, so it would tend to tick up each quarter from a lower first quarter. So it is entirely possible that we get to that 61% to 62% expectation overall for the year.
Eamomm P. Hobbs: I would add that as the new products gain traction, they are all very high margin and certainly help the situation and help the mix situation pretty significantly.
Suraj Kalia - Piper Jaffray: Okay, fair enough. Joe, I know if I heard it correctly again, you haven’t mentioned specifically what the inherent assumptions are in the guidance for RITA’s growth, but is it fair to say that if you assume 20% growth in AngioDynamics organic growth, that RITA is also trending to come out pretty relatively in the mid to high single digits to make up for the guidance?
D. Joseph Gersuk: Yes, or even higher than that. It was lower this quarter at 7% because of the ports, which was half the business that we acquired. The oncology products actually grew 20% on a year-over-year pro forma basis, so the overall guidance is at about a close to about an 18% year-over-year growth rate for the company. I think it’s probably 16% to 19% or 20% overall, and 18% at a midpoint.
Eamomm P. Hobbs: When we acquired RITA, we planned to turn around the port business, which was half of their business, and we are on our way to do that. We are very happy with the traction we are gaining in turning around the port business from a number of perspectives, in that the quarter we were measuring against prior year was extraordinarily high, so the comp is a challenging one but with all that, we were still flat, which is a big pick-up from the 6% decline that RITA was experiencing. So with the added sales focus of our interventional products group team on the port business, coupled with the new products that we’re rolling out in the port area, such as the Smart Port CT, we are comfortable that we are going to be able to get the RITA organic growth up into the teens.
Operator: Thank you very much, sir. Ladies and gentlemen, your next question comes from the line of Greg Brash of Sidoti & Company. Please proceed.
Gregory R. Brash - Sidoti & Company : I just wondered if you could maybe break down the sales of Sotradecol in the quarter, and I know vein treatment sales are pretty slow in the summer but I’m just curios what that was and sort of what percentage of the market you think you can grab over the next several years, and how dependent are you on FDA intervention?
Eamomm P. Hobbs: Well, we are gaining a lot of traction. We are not giving out individual product performance on Sotradecol or other products due to competitive reasons, but Sotradecol had an excellent quarter. It really demonstrated the success of a lot of the programs that we have in place which really center around educating physicians about the benefits of using a pure FDA approved pharmaceutical instead of a compounded formulation that’s made out of industrial chemicals that has all kinds of contaminants. There was a very good paper that came out in the American Society for Dermatologic Surgery that was published by Dr. Jose Almeida, who is a vascular surgeon, pretty well-known in the vein therapy area. And he did a -- the title of the article is FDA-Approved Sodium Tetradecyl Sulfate versus Compounded STS, or Sodium Tetradecyl Sulfate, for Venous Sclerotherapy. The conclusion is when product quality, efficacy and liability are carefully considered, we can conclude that it would behoove physicians to use pharmaceutical grade FDA-approved sclerosant when treating their patients. Articles like that are helping us to get things moving and Sotradecol is a benefit of all that and we are still the only game in town for FDA-approved sclerosant. You know, I am hesitant to get too bullish about being able to corner the market with the only FDA-approved product for obvious reasons, having had to eat those words in the recent past, but things are looking very good. You know, I think the best way to think about it is we are about a year behind the ramp curve that we initially anticipated and that really had nothing to do with product performance or anything of the kind. It really had to do with the market sort of realizing that it needed to cut the chord on the cheap stuff, if you will, and ante up to giving patients what they deserve, and that’s an FDA-approved, high quality drug.
Gregory R. Brash - Sidoti & Company : Okay, fair enough. And just looking at your image guided vascular access segment, just curious how that growth is tracking comparable to how its been the past couple of quarters. I know you have Bard out there talking big with their StatLock device and saying that’s helping them gain share, so just curious -- are you seeing any more of them and how are sales comparable to past quarters?
Eamomm P. Hobbs: The image guided vascular access products had a great quarter. There is a lot of noise out there from Bard and that’s something I would assume is not going to go away. We are locked in combat with them and they are the market leaders in this space. The standouts were the Morpheus CT and the Morpheus Bedside Insertion Kits had a phenomenal quarter. The ports we discussed, flat year over year but that was a pretty sizable victory for us in that we turned it around from the red to even with the highest quarter of the prior year for RITA, and we are very bullish and very excited about the rest of the fiscal year in this product segment of image guided vascular access, especially in getting the ports up into sizable growth numbers.
Operator: Thank you very much, sir. Ladies and gentlemen, your next question comes from the line of Brooks West of Craig-Hallum Capital. Please proceed.
Brooks E. West - Craig-Hallum Capital: Congratulations on a nice quarter. Eamomm, I wanted to ask a question on the Oncobionic technology, which I think is becoming real a lot quicker than people had originally thought. Could you expand on some of the performance, the clinical performance you are seeing both in prostate cancer and some of the other cancers that you are working on?
Eamomm P. Hobbs: The news out of the Irreversible Electroporation area is all very good. We are more excited about it than ever. We still anticipate concluding our pilot study in humans in malignant prostate in this calendar year and we have plans to put 20 clinical units in the ands of thought leaders in the area of focal tumor ablations in both the United States and Europe this fiscal year, and we expect them to start to roll out a commercial product in the following fiscal year, 2009, or our next fiscal year after this one. Having said all that, there are now a significant and routine number of papers that are coming out on the benefits of Electroporation, Irreversible Electroporation, and I think your characterization is true in that I think people are going to start to believe that this technology is real and it is going to have a yet-to-be-defined positive impact on the area.
Brooks E. West - Craig-Hallum Capital: Great, and then I had a follow-up question maybe for Bob, if he’s still there, or Eamomm; we’re hearing back from our field checks that you guys are making some refinements in terms of some of the call points on the interventional side and maybe have grown your sales force a little bit. Could you give us some detail there?
Eamomm P. Hobbs: You know, we are always looking to optimize our sales force organization and I think what you may be hearing are some organizational structure ideas that we’ve been kicking around into how we could best increase the efficiency of our two sales groups, our interventional products group and our surgical products group. You know, as our pipeline transitions into newly introduced products, we’ll be reacting to that by considering different organizational structures that are more efficient. Bob, do you want to add to that?
Robert D. Mitchell: I think that sounds right, Eamomm. I think that is dead on. Our offices are continually opening as we continue to explore the opportunities in front of us.
Eamomm P. Hobbs: And as far as adding to the sales force, we are continuing to add to the sales force and have been executing on our long-term plan of continuing to expand the sales force until we hit diminishing returns on average sales per rep.
Operator: Thank you very much, sir. (Operator Instructions) Our next question comes as a follow-up from Jason Mills of Canaccord Adams. Please proceed.
Jason R. Mills - Canaccord Adams: Thanks for taking the follow-up, guys. Just following up on that last question, Eamomm, could you or would you give us raw numbers on field sales force headcount in the U.S. and I can do the math as far as what that implies, revenue per rep? Also, perhaps more qualitatively, what you’ve done over the last six months or so internationally with direct sales force intervention.
Eamomm P. Hobbs: We’ve got -- in terms of quota carrying reps in the U.S., we’ve got 87, and we’ve added -- that’s about an increase of eight since the end of the fiscal year and we’ve got another 15 people in Europe selling for us. Our plan is to add another six people in the U.S. and two people in Europe over the course of the rest of the fiscal year.
Jason R. Mills - Canaccord Adams: Okay, so the rest of the fiscal year, so you’ll end the year in the mid-90s in the U.S. and sort of high teens in Europe?
Eamomm P. Hobbs: Yes, about 93 at the end of the year in the U.S. and 17 in Europe.
Jason R. Mills - Canaccord Adams: Okay, that’s helpful and then just last question and I’ll get back in queue, or let you drop off, specific to your non-GAAP net income guidance, it was nice to see, Eamomm, that you reiterated that. I’m wondering if you could give us color with respect to free cash flow expectations. It looks like obviously your accrued liabilities was a little higher in the quarter, inventory, you built some inventory and CapEx expenditures precluded free cash flow generation in the first quarter. Perhaps you could kind of go through these line items and give us your thoughts on free cash flow generation for the balance of FY08, understanding there are a lot of moving parts here?
D. Joseph Gersuk: Yes, there are and we don’t necessarily give free cash flow guidance. We’ve just simply offered the adjusted net income but there is a normal level of capital expenditures in the business of about $5 million to $6 million a year, and then above that we’ve got the additional items associated with the Oncobionic, which as Eamomm said, is a $15 million license purchase by the end of the fiscal year, and another $5 million after that, six months down the road. And then the additional expenditures of a couple of items we talked about this quarter, where each are about a $3 million investment on our part and we spent about $2 million of that thus far through the first quarter, so those are some of the highlights that would be spent in terms of capital and license fees over the course of the balance of the year.
Jason R. Mills - Canaccord Adams: Great, yes, that’s helpful. There are a lot of moving parts. And then just lastly, to a previous question, Eamomm, you talked about bundling early successes. I’m wondering if you would put a probability against or talk about the possibility of a national account win during this fiscal year, with the understanding that image guided vascular access is very highly concentrated in national accounts to which you’ve had very little, if any, success pre port, if you will. Could you maybe discuss that?
Eamomm P. Hobbs: Bob, why don’t you give that a shot?
Robert D. Mitchell: Sure. We in former years, AngioDynamics has not really played to much in the national accounts arena and recently, with the evolution of our product line and mix, we’ve dedicated a concerted effort to improve our positioning there, so national accounts is definitely part of our strategy for fiscal year ’08 and moving forward. We have a number of initiatives to help us move in that direction.
Eamomm P. Hobbs: Jason, it’s hard to time a win on that front because we are up against the timing of existing contracts expiring, but we are certainly pursuing large accounts and small accounts. I think our chances of getting some of the smaller accounts are very good prior to the end of the fiscal year because there are more of them and it is more likely that those contracts are coming up for bid during the period we have left in the fiscal year. Many of these contracts are two or three years in duration and I’m not sure if any of them are going to be awarded in the next three quarters.
Operator: Thank you very much, sir. Ladies and gentlemen, your next question comes from the line of Larry [Haimovitch] of HMTC. Please proceed.
Larry Haimovitch - HMTC: Good afternoon, gentlemen. No one has asked, so I thought with all the questions someone surely would have asked this, but no one has asked about RITA’s initiative, which I’m sure you are very aware of but we haven’t heard much about. In the radio frequency, it’s just a breast lumpectomy. I thought they had an interesting program going and I just wanted to see if you could give us a bit of an update, Eamomm.
Eamomm P. Hobbs: We are still involved in that area and agree that it is an extremely interesting and compelling opportunity. During the transition of going from RITA from a standalone to being integrated into AngioDynamics, quite a bit happened on the Assure front, which was the project name. We came to a conclusion that the most likely or best way to tackle that potential marketplace was with a different approach than what had been under development, which was a standalone product. It turns out that our existing product, coupled with a modified biopsy incision technique, works just as well as a dedicated product. We are still pursuing that opportunity with vigor. Since it really doesn’t entail developing a nuts-and-bolts product, if you will, the development efforts really are centering around additional clinical work and the establishment of adequate reimbursement. So those are our big challenges going forward on that front.
Larry Haimovitch - HMTC: Eamomm, when might a product reach the U.S. market? Any kind of speculation on your part?
Eamomm P. Hobbs: I really couldn’t speculate on that. One, it isn’t our policy to do so until the products are really ready to roll out the door and two, it’s always hard to predict what CMS is going to do.
Larry Haimovitch - HMTC: Sure. Bob, a question for you; the impression I had going into this fiscal year is that the company would be generating some pretty meaningful cash. I had kind of put a number in my mind and I don’t know whether I heard it from a conference call or whether one of the analysts had thrown the number out but I had thought about a possibility of generating as much as $30 million in free cash flow. A, did I hear something incorrectly or am I just making it up in my dreams? Or B, is that a realistic goal for fiscal ’08?
D. Joseph Gersuk: The $30 million that we have mentioned is not exactly free cash flow. It is this cash, net income adjusted for some non-cash items, if you will, and the three that we have specifically mentioned are stock-based compensation, the amortization of purchased intangibles, and the tax benefit associated with the use of the RITA NOLs that actually don’t appear, the benefit of that doesn’t appear on the income statement but we actually managed not to pay a significant amount of the taxes that we accrue by virtue of the use of these NOLs, and so those three items added to net income get to that $30 million figure that we have cited before. The free cash flow items that would be impacted by the things that we talked about earlier in terms of the capital expenditures and the license fees and so forth for the Oncobionic purchase.
Operator: Thank you very much, sir. Ladies and gentlemen, your next question comes from the line of Brooks West, Craig-Hallum Capital. Please proceed.
Brooks E. West - Craig-Hallum Capital: My question was answered in a follow-up. Thanks.
Operator: Thank you very much, sir. That concludes our Q&A session for today. I would like to turn the call back over to our speakers for any closing remarks they may have.
Eamomm P. Hobbs: I would like to thank you all for your attention and we continue to look forward to a very successful fiscal 2008. We’re all very excited here at AngioDynamics about what we have coming out of a new product pipeline and look forward to 2008 being an exceptional year. Have a great evening and I look forward to speaking to you again at our next conference call. Good night.
Operator: Thank you very much, sir, and thank you, ladies and gentlemen, for your participation in today’s conference call. This concludes your presentation for today. You may now disconnect. Have a good day.